Operator: Hello, and welcome to today’s Tyler Technologies Fourth Quarter 2022 Conference Call. Your host for today’s call is Lynn Moore, President and CEO of Tyler Technologies. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference is being recorded today, February 16, 2023. I would like to turn the call over to Hala Elsherbini, Tyler Senior Director of Investor Relations. Please go ahead.
Hala Elsherbini: Thank you, Emma, and welcome to our call. With me today is Lynn Moore, our President & Chief Executive Officer and Brian Miller, our Chief Financial Officer. After I give the Safe Harbor statement. Lynn will have some initial comments on our quarter, and then Brian will review the details of our results and provide our annual guidance. Lynn will end with some additional comments, and then we’ll take your questions. During this call, the management may make statements that provide information other than historical information and may include projections concerning the company’s future prospects, revenues, expenses, and profits. Such statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from these projections. We would refer you to our Form 10-K and other SEC filings for more information on those risks. Also in our earnings release we have included non-GAAP measures that we believe will facilitate understanding of our results and comparisons with peers in the software industry a reconciliation of GAAP to non-GAAP measures if provided in our earnings. We have also posted in our investor relations selection of our website under the financials tab with supplemental information provided on this call including information about quarterly bookings, backlog and recurring revenues. On the events and presentations tab we posted an earnings summary slide deck to supplement our prepared remarks. Please note that all growth comparisons we make on the call today will relate to the corresponding period of last year unless we specify otherwise. Lynn?
Lynn Moore: Thanks,s Hala. Our fourth quarter results marked a solid finish to an eventful year as public sector demand remained strong and SaaS adaption continues at an accelerated pace. Total revenues grew 4.3%, with organic growth excluding COVID related revenues of approximately 6% and organic revenue growth for full year was solid at approximately 8.2%. Recurring revenues comprised nearly 83% of our quarterly revenues. On an organic basis, subscription revenue grew 14.3%, reflecting both our accelerating shift to the cloud and growth and transaction-based revenues. Most importantly, SaaS revenues included in subscriptions grew 19.3%. We achieved solid revenue growth even as the shift in new software contract mix continue to accelerate to SaaS from licenses. In Q4, 86%, of our new software contract value was SaaS compared to 77% in Q4 last year. In our digital solutions division, which is formerly known as NIC, we continue to execute on cross-selling opportunities. And in Q4, we signed a significant new contract with the Kansas Department of Revenue to provide our Data and Insights Assessment Connect Solution, which will work with our Enterprise Assessment solution used statewide in Kansas. We also signed sell-through deals for our recreation dynamic solution with Utah division of outdoor recreation and the Mississippi Department of Wildlife, Fisheries and parks. Our Digital Solutions division also signed notable SaaS software agreements with the state of Nevada and the Alabama Alcohol Beverage Control Board. We also signed a payments processing contract with the Wisconsin Department of Motor Vehicles, which is our first payments opportunity in Wisconsin. Finally, our Digital Solutions division won a competitive rebid for our master enterprise contract with the state of Colorado’s Statewide Internet Portal Authority Board, as well as an extension of our master enterprise contract with the state of Oklahoma. In other Tyler divisions, we signed seven additional significant SaaS deals, each for different product suites and each with a total contract value greater than $2 million. Those include contracts with the Cypress Fairbanks Independent School District in Texas for our student transportation solution; the cities of Prosper Texas and Glendora, California for our enterprise ERP and enterprise permitting and licensing solutions; the Placer County Water Agency in California, and the City of Helena, Montana for our enterprise ERP solution; the City of Albuquerque, New Mexico for enterprise permitting licensing solution; and Lucas County, Ohio for our enterprise justice solution. In addition to those deals, we signed 12 SaaS deals in the quarter, with contract values between $1 million and $2 million each. In the fourth quarter, we signed 153 new payments deals worth more than $4.7 million in estimated annual recurring revenue across Tyler divisions, other than digital solutions. The largest of those was an agreement to provide payment processing for the City of Milwaukee, Wisconsin, was estimated annual revenues of more than $1.2 million. For the full year 2022, we signed 571 new payments deals, with more than $13 million in annual recurring revenue, many of which we were able to pursue because of the new capabilities that came to us with NIC. More than 80% of those were sold to existing Tyler software clients. New payments only agreements typically have a lag of three to six months between signing and revenue generation. While payments agreements that are embedded in a broader solution, such as new ERP sale, may have a period of 6 to 18 months from signing to revenue generation.  In our justice group, we signed two notable multi suite license deals in the quarter for enterprise public safety, enforcement mobile and data insight solutions with Stearns County, Minnesota and Richland County, Ohio. We also signed two significant license contracts for our Enterprise Justice Solution with Midland County, Texas and Kankakee County, Illinois, which also include our Enterprise Solution - Supervision solution. Now, I’d like for Brian to provide more detail on the results for the quarter and our annual guidance for ‘23.
Brian Miller: Thank you, Lynn. Yesterday, Tyler Technologies reported its results for the fourth quarter ended December 31, 2022. Both GAAP and non-GAAP revenues for the quarter were $452.2 million, up 4.3% and 4.2%, respectively. Organic revenue growth, excluding COVID-related revenues, with 6% on a GAAP basis and 5.8% on a non-GAAP basis. COVID-related revenues for the quarter were $3.5 million compared to $16.6 million in last year’s fourth quarter. Revenues from all of our COVID-related initiatives have now officially ended. Licensed revenue declined over 60% as our new software contract mix continued to shift to SaaS at an accelerated pace. Professional services revenue rose 2.8% and 8.5% organically. And we intend to continue to grow our implementation teams in 2023 to support delivery of our growing backlog and pipeline that will likely continue to see some pressure on professional services revenue in the near-term as the teams ramp up to become fully billable. Subscriptions revenues increased 11.9% and organically rose 14.3%. We added 140 new SaaS arrangements and converted 82 existing on-premises clients to SaaS, with a total contract value of approximately $99 million. In Q4 of last year, we added 135 new SaaS arrangements and had 71 on-premises conversions, with the total contract value of approximately $74 million. Our software subscription bookings in the fourth quarter added $21.4 million in new ARR. Subscription contract value comprised approximately 86% of the total new software contract value signed this quarter, compared to 77% in Q4 of last year. The value weighted average term of new SaaS contracts this year, this quarter was 3.9 years consistent with last year. Transaction-based revenues, which includes state enterprise portal, payment processing and E-filing revenues and are included in subscriptions, were $146.5 million, up 6.9%. E-filing revenue reached a new high of $19.8 million, up 12.7%. Our non-GAAP ARR was approximately $150 billion - I’m sorry, $1.50 billion, up 7.5%. Non-GAAP ARR for SaaS software arrangements was $440.6 million, up 18.5%. Transaction-based ARR was $586.2 million, up to 6.9% and non-GAAP maintenance ARR was slightly down at $469.1 million due to the continued shift of new clients and migration of on-premises clients to the cloud. Operating margins in the quarter were pressured by the acceleration of the shift to the cloud in new business and the related decline in license revenues as well as by an increase in R&D expense as certain development costs that we had expected to capitalize were expensed. Our backlog at the end of the quarter was a new high of $1.89 billion, up 5.2%. Bookings in the quarter were approximately $464 million, which was flat with last year. On an organic basis bookings were approximately 354 million up 2%. For the trailing 12 months, bookings were approximately 1.9 billion, up 9.5% and on our organic basis were approximately 1.4 billion up 1.6%. Capital expenditures for the year totaled $50.1 million below our Q3 guidance of $58 million to $62 million, primarily because of the reduction and capitalized software development that drove higher R&D expense. Cash flows from operations were 121.9 million up 6% and free cash flow was 114.7 million up 20.6%; both represented a new high for the fourth quarter.  We continue to strengthen our already solid balance sheet throughout 2022. During the fourth quarter, we repaid $90 million of our term debt and since completing the NIC acquisition, we have paid down $755 million of debt. We ended the year with outstanding debt of 995 million and cash and investments of approximately 229 million. As a reminder $600 million of our debt is in the form of convertible debt with a fixed interest rate of a quarter of a percent. The remaining $395 million in pre-payable term debt due in 2024 and 2026 with interest in flooding rates based on LIBOR plus a margin of 125 or 150 basis points. Thus our exposure to floating rates is limited. Beginning in February 2023 SOFR has replaced LIBOR as our reference rate. We also have an undrawn $500 million revolver. Our net leverage at quarter end was approximately 1.64 times trailing 12 months pro EBITDA. We’ve also issued our initial guidance for 2023. Please keep in mind that our outlook for 2023 includes no COVID related revenues as those initiatives were completed in the fourth quarter. For the year 2022 COVID related revenues totaled $51 million with $10.8 million in subscriptions, and 40.2 million in professional services. In addition, another revenue headwind that is factored into our guidance is the shift of two of our digital solutions state enterprise agreements from the gross to the net model for payments resulting in a 10.5% million reduction in revenues, although with a positive impact on margins. Our 2023 guidance is as follows. We expect both GAAP and non-GAAP total revenues will be between $1.935 billion and $1.970 billion. The midpoint of our guidance implies organic growth of approximately 8%. To add more color to our revenue expectations, we expect growth by revenue line to be in the following approximate ranges. Subscription revenues will grow in the mid teens. Professional services revenues will decline in the high single digits but excluding COVID revenues will grow in the high single digits. License and royalty revenues will decline approximately 30% or more. Maintenance will decline in the low single digits. Appraisal services will grow in the high single digits and hardware and other revenue will be relatively flat. We expect GAAP diluted EPS will be between $4.10 and $4.25 and may vary significantly due to the impact of stock option activity on the GAAP effective tax rate. We expect non-GAAP diluted EPS will be between $7.50 and $7.65. Well, we don’t give quarterly guidance, we do expect first quarter EPS to be in the range of Q4, 2022 EPS with a significant sequential increase in Q2. Interest expense is expected to be approximately $26 million including approximately $5 million of non-cash amortization of debt discounts and issuance costs. Other details of our guidance are included in our earnings release. And finally, while we don’t give specifically guidance on free cash flow, we want to point out a change in taxes that we expect will have a significant impact on our cash taxes and therefore our free cash flow. The tax cut and jobs act required that starting in 2022 research and experimentation expenditures known as Section 174 costs are required to be capitalized and amortized over either five years for expenditures in the U.S. or 15 years for those incurred outside the U.S. for tax purposes. Since the enactment of the TCJA businesses, including us have been monitoring congressional actions around this rule, and there was a strong expectation that section 174 would be repealed or delayed. However, Congress has not yet taken action. While the section 174 change has a slight favorable impact on our tax rate it significantly accelerates the timing and amount of our cash tax payments. Now I’d like to turn the call back over to Lynn.
Lynn Moore: Thanks, Brian. During 2022, we achieved notable milestones towards several key strategic initiatives. We made meaningful progress on our cloud journey through continued investment in cloud optimization, and moving to cloud only deployment for many of our core solutions. Our intentional innovation is based on knowing our clients and anticipating their future knees. As you recall, in 2019, we launched a strategic shift from a cloud agnostic model to a cloud first model to deliver secure, scalable, dependable and compliant digital infrastructure. We’re pleased to see the accelerated pace of cloud adoption amongst our new clients, as well as the steady increasing pace of cloud migrations of on-premises clients. Additionally, we integrated our Tyler and NIC payments teams and launched a significant go to market strategy for payments with a growing and active pipeline. During the year, we added 571 new payments clients with the vast majority at the local level. We leveraged our strong relationships across state and local agencies, including the NIC state enterprise contracts, to expand our cross sell opportunities with significant multi solution deals that demonstrate the power of our One Tyler approach. We’re still in the early stages of cross sell, and it’s exciting to see tremendous momentum and collaboration taking place. Since completing the acquisition of NIC synergies between NIC and Tyler have delivered 19 cross sell transactions worth $9.5 million in total contract value.  Overall, the year was highlighted by significant wins highly successful upsell efforts and state renewals and expansions. Throughout the year, we also demonstrate a balanced yet opportunistic approach across our business and with respect to capital allocation. We maintain a strategic lens toward acquisitions and close three transactions that bring innovative and robust offerings to elevate our digital solutions payments business, broaden our integrated solutions, and add new technology. All three acquisitions Quadrate, USC Direct and Rapid Financial Solutions support a unified client experience and further our connected communities vision to support thriving communities through a common digital foundation for better data access, engagement, and transparency. As we move into 2023, I’ve never been more confident about Tyler’s long term prospects. This is an important year in our cloud transition. And we are tracking well with our cloud optimization product development efforts and the plan to exit from our proprietary data centers in 2024 and 2025. We expect to reach an inflection point in our cloud transition in 2023 with a significant decline in licensed revenues that are being replaced by valuable long term recurring SaaS revenue. As a result of the short term revenue headwinds from this mix shift, together with bubble costs related to SaaS transition, including duplicate costs of operating our proprietary data centers, while moving our hosting to AWS operating margins are expected to trough this year. The estimated impact of bubble costs on our 2023 non-GAAP operating margin is approximately 130 basis points. We are committed to returning to a trajectory of consistent operating margin expansion beginning in 2024. In fact, you’ll see in our upcoming proxy statement that we have added operating margin expansion as a second metric for our long term incentive plans for our senior leadership.  Our move to cloud first builds long term value and supports multiple long term growth drivers. In the midterm over the next five to seven years, we’ve talked about annual organic revenue growth in the 8% to 10% range, with consistent long term margin expansion of at least 50 to 100 basis points a year beginning in 2024 excluding the impact of merchant PCs from payments expansion. We continue to refine our Tyler 2030 plan and look forward to sharing our longer term vision and clearly defined targets for revenue, margin and payments growth during an investor day planned for mid year. Look for more details on that soon. When we look at our operating margins, it’s also important to consider the impact that growth in our payments business has on margins. We recognize revenues for payment processing under multiple revenue models. A gross model for agreements, where we are responsible for merchant fees on the transactions, a net model where a client assumes direct responsibility for merchant fees, and a revenue sharing model similar to the net model where we are effectively reselling a third party processor services. The majority of NIC’s payment processing is under the gross model. And in 2022, we paid a total merchant fees of approximately $145 million with a small margin earned on those fees. If those same contracts were on a net basis, our consolidated non-GAAP operating margin would have been approximately 200 basis points higher. Our operational and financial discipline coupled with a strong balance sheet and ample liquidity allow us to aggressively manage our debt profile and moderate the impact of rising interest rates. And delevering continues to be a priority for capital allocation. While the bar is high for acquisitions, we continue to have the flexibility to evaluate M&A prospects that present compelling strategic growth opportunities. To close I’m proud of our team Tyler team and what we continue to accomplish every day even amid macro economic uncertainty. As you’ve seen in our press releases, we received many industry and regional accolades, which is a testament to our work ethic, our culture, and our tireless efforts to support our clients’ needs. We also receive gratifying recognition for our environmental, social and governance practices, being named to the Dow Jones Sustainability Index North America for the second consecutive year. The DJSI cited are notable gains in IT security, risk analysis, privacy protection, and human capital development. In addition, we were recently named to Newsweek’s list of America’s greatest workplaces for diversity. We’re proud of these recognitions, and remain committed to sustainable business practices. With that, we’d like to open up the line for Q&A. 
Operator: We will now begin the question and answer session. [Operator Instructions] Your first question comes from the line of Sami Badri with Credit Suisse. Your line is now open. 
Sami Badri: Hi, thank you very much. And I had a question about the margin troughing in ‘23 and maybe you could just give us color on the ramp on from the bottom of ‘23 what should we be thinking about where margins could go in ‘24? And I think the big thing here is maybe you could give us color on like, what are some reasons why the bounce off the trough could be faster versus slower? And what are some things that could influence the speed of the margin movements?
Brian Miller: Yes. I think it’s still a little early for us to give much color around sort of how we see that trajectory playing out in 2024 and over the midterms over the next five to seven years. As we mentioned in the prepared remarks, we expect to have an Investor Day around mid-year and provide more detail on that, but we’re still refining those models. So not really able to give a lot of color around that. As we’ve talked about some of the factors that give us confidence that we do return to margin expansion in 2024, particularly around the wind down of some of the bubble costs as we exit our first data center. We think that this year, actually, we sort of reached that inflection point where the impact of declines in licenses are offset by the current stream of recurring revenues from subscriptions. I think in terms of the factors that could make that go faster or slower certainly one of those is the speed at which our payments business grows. And Lynn talked a little bit about the impact that has on our blended margins. But on the software side, I think that the trajectory around the speed of the flips from our on-premise customers will have an impact on that. Some of the other efficiency gains and product optimizations as we wrap those up the ability to improve lower hosting costs, I think the speed at which those work their way into the model will also be a factor in how that trajectory, how fast that trajectory plays out. 
Lynn Moore: Yes, I think just to amplify on that we’ve talked over the last couple of years we’re about three or four years or so into this cloud transition. And we’ve talked about sort of the two pieces of it, the getting dealer side on the revenue side, and then sort of getting the other side on the cost and expense side. And as Brian mentioned, on the revenue side, we’re seeing that sort of inflection point it’s going to take place, probably later this year. And last couple of years, the last licenses has been a significant impact. And our internal models are now showing that really the new flips, the gains from flip as well as the SaaS business over the last couple of years, is going to later this year, sort of past that point of where we lost licenses. Remember, back in 2019, we did just over $100 million in licenses. So it’s a significant change that we’ve been running through the financials. And then when you look on the cost side each years go by, as these, as time goes by, we’re getting better and better visibility where we are making progress on optimizing our products. We’re making more progress on our plans to exit our proprietary data centers. We’re getting better data on how our products are actually operating within the public cloud. And so a lot of that stuff gives us that confidence that 2023 is that margin trough. As we look out farther there’s other things that we’re doing as well. We have a lot of internal initiatives around efficiencies, things like consolidating just some of our internal IT. We have other sort of satellite data centers that we’re looking to collapse, as well as things like looking at real estate and stuff like that. So there’s a lot of initiatives around that, which I think give us that confidence when we talk about ‘23 being sort of the margin trough.
Sami Badri: Got it. Thank you for that color. I want to shift gears a little bit and just talk about your end market, your customers, the funding flywheel. We’ve clearly started to see some companies that are indexed to federal state and municipal budgets start to see the benefit of funds flowing in. They could be coming in from ARPA, some of them are still coming in from the Cares Act. And just in general, state and local budgets are up or up a lot, I guess, in 2022, fiscal 2022, and look like they’re going to be up low-single digits in fiscal year ‘23 which means like the base level of state and local budgets are just much higher than what we’ve really seen before. Have you been able to identify some of those incremental lifts in those budget allocations or federal funds start to come into the business in the form of contracted revenue or bookings? 
Lynn Moore: I think the answer is probably similar to what we’ve said in the past. I would say, as I look at our clients budgets, they’re generally very healthy. As I’ve mentioned, before, they were not as impacted by COVID, as people thought. They are having access to federal funds. Some of it, Brian, the timetables of one that they still have a couple of years, I think it’s been there. So we’re just generally seeing healthy budgets, healthy buying seasons, sort of just a really good, robust market. In terms of identifying specific deals there are occasions for that. But I think really, what it does is it’s more about just overall confidence in our clients being willing to spend money. 
Operator: Your next question comes from the line of Rob Oliver with Baird. Your line is now open. 
Rob Oliver: Great. Thanks, guys. Good morning, Lynn, one for you. You mentioned the milestones on the cloud side since 2019 when you pivoted to the cloud-first approach and certainly, seems like those are paying off, particularly with new business around subscription definitely felt that among your customers in Indianapolis last year talking to them about their readiness for cloud. But I wanted to ask a little bit about you talked about new flips. How should we think about the pace of conversions? This is clearly going to be an important driver here. They are up modestly from last year, nothing to really write home about. So can you just help us understand how you’re thinking about maybe success relative to conversions and migrations of existing customers this year and then I had a quick follow up for Brian. Thanks.
Lynn Moore: Yes. Sure. Robin. I think you’re right. I flipped actually, I think there are quite a bit year-over-year. I think this year, we did about 336 flips. Last year, we did about 239 flips give or take. So roughly 40%. I see flips being a significant driver of revenue growth over the next five to seven years. I see them continuing to grow at a healthy pace. And I don’t really, I’m not in a position to tell you that we’re going to grow North of 15%, 20% each year, but we have a wide and deep customer base, that has become a priority, and we’re prioritizing our flips internally.
Rob Oliver: And then Brian, just one on the Q4 operating margin was a bit below our expectations. And that could be driven indeed, by those flips, or by NIC but just wanted to get a little bit more color on that. Thanks. 
Brian Miller: Yes, I’d say probably the two biggest factors, there were one that licenses declined pretty significantly. And we’ve talked about that expectation, kind of going into 2023 but Q4 had a bit of a deeper decline from the mix of new business. So licenses were relatively low number. And, again, most of that is a shift in the mix as opposed to less new business. We did as we typically have with our more license heavy products and public safety and platform technologies some slippage out of the quarter in terms of timing, but that’s pretty typical. So I’d say that the lower licenses were the big factor. And then probably the other factor is the higher R&D expense that we mentioned were some expenses that we had expected to be capitalized were actually expense because of the nature of the development efforts. And so that impacted our margins as well.
Operator: Your next question comes from the line of Matt VanVliet with BTIG. Your line is now open. 
Matt VanVliet: Yes. Good morning. Thanks for taking the question. I guess looking at the margin guide for ‘23 Brian and just trying to reconcile kind of where we were previously to maybe some of the moving parts and you just mentioned the R&D coming in higher on a expense level than capital wonder if you could sort of quantify how much of that sort of changed versus what you were previously expecting and looked like around maybe 6 million flip from capitalized to expense in the fourth quarter. Curious if you have a general sense of what that level will be in ‘23. And then secondarily, just how much of the compression on the EBIT or on the operating margin side is from the declining license mix versus the bubble costs versus those R&D expenses. Thanks.
Brian Miller: Yes. So yes, for the full year, the difference in the capitalize versus expensed R&D versus our expectation was close to $9 million. We gave guidance for R&D for next year, in the range of $108 million to $110 million that’s expensed and our capitalized R&D in 2023 is expected to be in the high 30s, say around $37 million. So capitalization is a little bit higher, but R&D expense is higher in 2023. If you look at the sort of the midpoint of our guidance, it implies I’d say somewhere between 60 and 100 basis points of operating margin compression in total and we mentioned that the bubble costs are estimated to be about 130 basis points of impact on 2023 margins. 
Matt VanVliet: New bubble cost?
Brian Miller: New bubble costs. So and that’s higher than the impact was in 2022. We talked about those as being a little less than 100 basis points of impact and that’s to be expected, because we continue to move more customers into the public cloud and while we still operating our two data centers and so the duplicate costs expand this year, and we’ve talked about an expectation in the first half of 2024 that will be out of the first data centers and that’ll start to mitigate.
Matt VanVliet: Okay, very helpful. And then looking at just trying to square together some of the numbers with the commentary, it sounds like the subscription side and certainly SaaS embedded within that continues to perform quite well. And you’re seeing not only new customers, but the flips, sort of at elevated rates. But definitely look at the backlog numbers on the subscription side, there was a slight decline sort of quarter-over-quarter, while maintenance continued to climb. So just curious if there were, I guess any mix of some of the renewals that maybe were anticipated the flip that maybe didn’t in the quarter or anything on that front that would sort of lead to the optics of the subscription backlog declining slightly, while the sort of looking ahead version and the qualitative commentary around strong bookings would push more to the subscription side, maybe in ‘23 than what we saw in Q4.
Brian Miller: Yes, I think one of the bigger factors around backlog I think backlog is probably becomes maybe a little less meaningful or less of a full picture when you look at it is really around how the accounting drives what goes into backlog and what doesn’t. So transaction revenues don’t sit in the backlog. So as we add new payments or new portal revenues, those typically are under fixed arrangements so even though they may be highly predictable and recurring. So there typically wouldn’t be an addition to backlog for those.  And then we’ve talked in the past as well about sometimes the terms of a contract agreement dictate how much goes into backlog. So for example, a termination for convenience provision can significantly limit that we saw that with a really large contract last quarter. That was a 50 plus million dollar contract that only $8 million went into backlog because that’s a termination for convenience provision. So I think there’s a lot of factors that start to make the backlog number maybe less of an important metric to look at how we expect to perform going forward. 
Operator: Your next question comes from the line of Peter Heckmann with D.A. Davidson. Your line is now open.
Peter Heckmann: Good morning. Thanks for taking the question. I have a few just clarifications there. And I may have missed some detail. So forgive me if I’m repeating myself. But when we look at bookings we typically see this quarter as a big public safety bookings quarter. Can you talk about how they are receiving the idea of converting to subscription? And then just clarifying, were there any deals with containers in bookings in the quarter that were greater than 5 million of TCB?
Lynn Moore: Yes. Sure Pete. On the public safety side, it is typically a little bit larger quarter. we don’t typically talk about deals that we’ve awarded, but not signed. I will say that we had a couple of deals that were of significance that that pushed for the quarter. We are continuing to see more and more acceptance on the public safety side to the SaaS model and to subscriptions. And I think we’re going to continue to see that going forward. It’s part of our actual in our budget process. If you look generally across Tyler, I think for next year on a sort of an overall weighted value average, we’re expecting north of 90%, 91% of deals next year to be in SaaS with a significant increase on the public safety side, still less than half on the public safety side. But it is something that we’re doing some modeling and some things that we’re trying to do to sort of push that model with our clients.
Brian Miller: Yes, and this quarter, we did not have any individual contracts that were more than $5 million in total contract values. We had a couple in the $4 million range on the software side. We did have a competitive rebid when, with our state enterprise agreement in Colorado, which is one of our bigger states. And certainly the total value of that contract over the five year term is well above $5 million. But on the software side, no individual deals more than 5 million. So it was more of a high volume sort of more mid range deals this quarter. 
Peter Heckmann: Got it. And so to your point that bookings might be come up with slightly less useful metric given how you gross up the TCB related to variable revenue streams and contracts. I missed what you said on the 500 and some payments deals. What was the TCB related to that and then can you get given an approximation of how much that was included in for your bookings? Did it have just been your estimate of the first year? 
Brian Miller: Yes, and actually on the payment deal, that there really wouldn’t be anything that in the bookings number, only the actual revenues as they come through in a given quarter basically run through bookings and revenue at the same time. So for payments, we don’t include it again, because they’re not a fixed amount. We don’t include those in bookings or in backlog. But those payments deals for the full year we estimate that they’ll add more than $13 million in annual recurring revenues. And there’s a mixture of contracts there that are either gross or net processing through our platform and still some deals that are through our reseller arrangements where we have a revenue sharing arrangement. So the revenues are lower but the margins are higher on those. 
Operator: Your next question comes from the line of Alex Zukin with Wolfe Research. Your line is now open. 
Alex Zukin: Yes, hey, guys. So maybe just two for me. I guess the first one just similar to one of the questions, I think that’s been asked, but maybe on a slightly different metrics. Again, the subscription ARR added in the quarter this quarter seemed to be lower sequentially than the last two. So just maybe clarifying what drove that from a bookings perspective? And then more broadly, as we are much more geared towards subscription and SaaS, how should we think about at least how were you guys thinking about kind of net new SaaS ARR, net new kind of subscription bookings growth for ‘23? And then I have got a quick follow up on cash flow.
Brian Miller: Well. We expect, clearly we expect the subscription booking and subscription ARR will accelerate from 2022 and 2023, both on the transaction side and the SaaS software side. Part of that, again, the change in the mix accelerating in a more significant decline in licenses this year with that being replaced by new subscription arrangements. I think the question about just the new subscription ARR again, that number really just relates to new software deals. And as you said, there weren’t any mega deals in this quarter. But a good volume of sort of midsized deals. I think more that’s just around the timing. We’ve said that the pipeline continues to be very strong. RFP activity remains generally stable at pretty elevated levels of the market activity supports that expectation that we’ll continue to see an accelerating rate of new software ARR. 
Alex Zukin: And then I guess, Brian, from a free cash flow perspective, when you think about the lag or the delta between operating margins and free cash flow for this year, it’s obviously a little bit higher than in previous years, given some of the items you mentioned around tax and expense or capitalization versus some R&D expenses. As we think about it for ‘23 and even more so for ‘24. What’s the right expectation for free cash flow margins versus operating margins? And that delta specifically in these two years as we kind of trough margins and transition to SaaS? 
Brian Miller: Yes, I think, generally, we would expect that and we talked about what are our capitalization, our CapEx, both software and non-software CapEx is for 2023. That’s a bit higher. And some of that’s related to software CapEx and some of that’s related to facilities investments that we’re making in a couple of particular locations as expected in ‘24, that that CapEx would decline. In general, I think our cash flow margin would grow in line with a faster than our operating margin. Once that CapEx starts to normalize. The impact of the Section 174, which is still a bit unclear, will be significant on cash flow in 2023. Because if it stands, if it’s not repealed, and we’re not the first company or the first software company to talk about this, you’re starting to see more of it. I know Microsoft talked about a more than billion dollar impact on their taxes. But if it stands and isn’t repealed or delayed, that our cash tax payments will be significantly higher this year because we’ll have the impact of both sort of catching up the 2022 taxes under that assumption and making cash tax payments related to 2023. So it could be in the 100 million dollar range of additional cash taxes this year, which would really, as I said, the two years impact, roughly $50 million related to 2022 and 50, related to 2023 in round numbers. So we’ll see how that plays out. But that’s sort of the current expectation. And given the way that tax change works, it will impact cash taxes for five years until it normalizes and you’re putting on the same amount that you’re amortizing.
Alex Zukin: Understood, so, I guess, is it fair once we get through ‘23 and CapEx starts to trend down would you expect it to kind of go back to that historical still 200 to 300 point delta between margins and free cash flow margins? operating margin? 
Brian Miller: I think that’s fair. 
Operator: Your next question comes from the line of Gabriella Borges with Goldman Sachs. Your line is now open. 
Gabriella Borges: Hi, good morning. Thank you. Lynn I want to follow up on some of your comments on the demand environment. I think last quarter, you talked about procurement cycle stretching out a little bit, maybe just give us an update there and are you seeing any issue positive or negative with this topic shortages, negative being bottlenecking on procurement and positive being, hey, we don’t have enough work through we need to accelerate our adoption of technology at your customer base. 
Brian Miller: Gabri, I don’t. Right now, procurement cycles are pretty normal. They’re going in line with our clients budgets are healthy. And we’re not really seeing delayed procurement cycles right now. Again, from our perspective, the market is relatively healthy, their budgets are healthy, and our competitive position remains strong. So we’re seeing a pretty normal, really above normal market.
Gabriella Borges: My follow-up is on competitive position. So as you think about the progress you’ve made with your cloud transition, and really leaning into that, is there a scenario where you see a pace of share gain, or your pace of displacement incumbents accelerate? Is that something you potentially are already seeing, and that’s something that could be on the cards a little bit on how it advantages you competitively? Thank you.
Brian Miller: I’ll take, I’ll start on that and Lynn can add to that. We do think that in our space, that the shift to the cloud and our cloud strategy gives us a competitive advantage. As you know, we compete across products with different competitors, and generally in each of our products suite. And those range from some very large companies to a lot of smaller, more niche e-companies. And we think that where we are in the cloud transition, is well in advance of where a lot of our competitors are. And as that desire, on our client base to move to the cloud accelerates that gives us an advantage and an ability to increase our share because of where we are in our cloud transition. And then, as we’ve talked about in the past, our connected communities vision, and the fact that we have this broad suite of products that work increasingly well together, continues to provide us with a competitive advantage there in clients that are looking for a sweet solution. And we think that this could be one of our strengths.
Operator: Your next question comes from the line of Saket Kalia with Barclays, Your line is now open. 
Saket Kalias: Okay, great. Hey, good morning, guys. Thanks for taking my questions here. Lynn maybe start with you. That was helpful detail in your prepared remarks just on the composition of NIC or digital payments. When it comes to gross versus net? Maybe the question is, Could you put a finer point, just on how much of that digital payments business or the transaction revenue one is gross versus net and then relatedly, how you maybe think about that mix going forward? 
Lynn Moore: Yes, I’ll start and varnish probably got better numbers. NIC which in our digital solutions division, I would say the overwhelming majority of their payments business was on a gross basis. I would say on the Tyler side beforehand, more of it’s been on the net basis. That’s actually not a lever that we fully control. It’s generally controlled by the customer and whether or not the customer is wants to take the risk and on the interchange fees or if not, there’s a number of factors that go into there. But as of right now, a substantial part of Tyler’s overall business is on the gross model because of NIC and more NIC was how mature and vast that business was. We’ve got the number for merchant fees that we passed through last year was about I think, on the NIC side was about $142 million. And maybe just a handful of $3 million, $4 million, $5 million on the Tyler side. And looking at it next year I think NIC side is probably more around 145-ish million again with the same few million more on top from Tyler. 
Brian Miller: I don’t know that. I have a lot to add to that. It clearly is the vast majority. We did mention that a couple of our date enterprise agreements that digital solutions are shifting in 2023 to net from gross and that’s got about a $2.5 million impact. But as Lynn said, we don’t really fully control that. And so I would expect that still going forward, the majority of the business comes to us through the gross model where we’re paying the merchant fees which is why we wanted to sort of give you the apples to apples comparison of the margin impact of a couple of 100 basis points, if all of those net ones were on the gross model, and you took the merchant fees out of the revenue side. So I would say that as more Tyler customers that have traditionally been on a sort of a reseller with third party payment processors, where we get a revenue share, which is a net accounting, as more of those overtime migrate to our proprietary platform, we could have a shift with from those customers that are currently on a net basis moving to a gross basis with Tyler. The net result is we keep more of the transaction. So we make more money. We’d have higher revenues, but it would have a negative impact on margins. And we’ll attempt at our investor day to provide more color on how those work and how we see that playing out. Because clearly significant growth in the payments business is an objective of ours and something that we’re having a lot of success with and expect to continue to.
Saket Kalias: Got it. That’s very helpful. Brian, maybe for my follow up, and apologies. I think this question has been asked a couple different ways. I just, I want to one other way. The question is, maybe how SaaS ARR did versus your own expectations this quarter? I think you said that maybe it was timing. We expect SaaS ARR to accelerate next year. I think it grew about 19% this quarter. I know the last quarter had some big deal activity that maybe makes it a tough sequential compare. But I’m just kind of curious how you think about sort of that that SaaS ARR growth trajectory this year? And if there’s anything that we should keep in mind, for how that performed this quarter versus your expectations? 
Brian Miller: Yes, I think it was generally in line with our expectation. I don’t know that it was significantly varied from plan. I guess one other factor that plays into that is the lag between when we sign a SaaS deal and when we start to recognize revenues. And that can vary, but it can be typically the implementations are quicker or the time from signing to starting to recognize revenues is quicker on a SaaS deal than on an on-prem deal. But that can vary and that can typically be, say six months that can be longer. And so I think when I talk about timing, it’s more around the difference between when we signed something and when we’re starting to recognize revenues.
Lynn Moore: I’d say there’s two things around timing one is, just as Brian mentioned, yes in the old days, when you sign an on-prem license, you recognize the entire license upfront. On a SaaS deal, particularly when we’re doing multi suite, multi module deals, they’re generally going to start paying those when those particular modules or pieces go live. So you’ve got to delay from the time you sign to where you get first parts of the customer up live. But as you continue that implementation and other pieces go live, then you will get that build up. I say the other side is when you look at flips there’s things around flips that while long term, obviously provide really great long term value and the short term sometimes we’re providing some services, perhaps that discount or no charge. There also might be some concessions depending on how long the customer has had their license and where they sit. And so to sort of incentivize the flip, there’s sometimes some sort of upfront concession, which can then create another lag factor before you get the full value of that flip.
Operator: Your next question comes from the line of Jonathan Ho with William Blair. Your line is now open.
Jonathan Ho: Hi, good morning. Just wanted to I guess, touch a little bit about cross sell activity which you spoke about quite a bit. Is there anything that we could expect to see either inflect or grow even more for 2023 as the NIC relationship has had a little bit more time to mature and with some of the new acquisitions.
Brian Miller: Yes, Jonathan, I mean, cross selling is one of our major mid to long term growth drivers. It’s something we’re talking about internally, as you look out over the next seven, eight years to about Tyler 2030. And things that can, quote, really move the needle. It’s these things like flips, its payments, it’s cross selling, it’s also a lot of other things that we do really well. And we’ve talked about areas of our business like supervision, where the where the market is good, where the TAM is good, and where we’re making really big gains there. But cross selling is something that we’re prioritizing across all of Tyler, where we’ve actually started some new sort of strategic account management approach within NIC and bringing other resources, getting even further exposure to our sales channels, our sales leads. There are things that we will be working on in terms of internally around how we recognize revenue from cross sells, and how we incentivize things and structurally internally, things that we need to sort of clear out some of those barriers to sort of unleash that power even more. We’re pretty excited about it. I mean we had probably this past quarter, probably one of the best stories we’ve had in a long time in terms of both cross selling and sort of connected communities which was the Kansas Department of Revenue story that I mentioned in my opening remarks. This was a deal where this deal took place because of our DNI solution around assessments, and the fact that we had such a broad footprint and presence within the state of Kansas from our enterprise assessment. But it also didn’t happen without NIC and their contacts at the state and utilizing that state master contract. So that was three different pieces of our organization coming together to create a really great result and something that I think we can replicate across other states that deals a $600,000, AAR deal, really an ideal, but really took the efforts of multiple divisions to do that. And I think that’s sort of an example of what we’re looking to do in the future. 
Operator: Your next question comes from the line of Kirk Materne with Evercore. Your line is now open. 
Unidentified Analyst: Yes, guys, it’s actually Peter on for Kirk. Appreciate taking the questions. So maybe, Brian, just one for you. Curious are we at the point where there should sort of be more stability in terms of the impact of this subscription transition on revenue versus your guidance? I mean, I think we all get the moving target, but just curious if the level of dispersion is likely to go down from here on that, in that sense?
Brian Miller: Yes, I think so. We certainly expect a bigger decline in licensed revenues this year. Licenses are always the most, or the least predictable of our revenue streams at least in the short term. And so now with well into the 80s, is the percentage of our revenues that are recurring. There’s much less, a much higher level of predictability. So I think we’re definitely kind of around that corner. And in that there should be an increasingly higher level of confidence around our outlooks versus what we actually where results come in.
Operator: Your next question comes from the line of Terry Tillman with Truist Securities. Your line is now open. 
Terry Tillman: Hey, good morning. Thanks for filling me in. Unfortunately, for you all still have some more questions, even though a bunch have been answered. Maybe Lynn the first question for you. It’s kind of a twofold first question. And then Brian, I was going to ask you about payments. So Lynn, in terms of those couple of larger public safety deals that slid into the first half. Do you expect those pulls in the first quarter? And then the second part of that first question for you is, you had a great deal last quarter with the Department of State and I know it’s still small in terms of the federal sector for you all. But just anything you can share about optimism in more we could hear this year on that side. And then I want to ask you about payments, Brian? 
Lynn Moore: Yes, my expectation is that at least one of those larger deals is on track to close in Q1. As it relates to Tyler federal. I think you’re right. I mean, things that I’m seeing that’s coming out of that that division, in terms of sales indicators, the pipeline, the volume of deals is up significantly since year-over-year. We’re also seeing interesting going up more and more movement in the federal side to SaaS, which is good to see. It’s something that we put an internal focus on in the last two years. And we’re starting to see more of that receptiveness there. So I think there’s positive things coming out of the federal space. And I like our position there right now.
Terry Tillman: That’s great to hear. And then Brian we’ve gotten a lot of data points on payments, and there’s lots of puts and takes up particularly the gross to net or when there’s a rev share, but could you just like really try to help boil it down in terms of for ‘23, the payments revenue business? I mean would that grow at about a similar rate in ‘22, or just anything you can share about the growth rate on the recognized revenue for payments? Thank you. 
Brian Miller: Yes, I think the growth rate on payments is going to be above Tyler’s overall growth rate is going to be a positive contributor. And I expect that, in general, that will be accelerating from 2022 both from adding new customers through the cross sell motion, which we talked about, we’ve integrated our payments teams. We’ve really got the go to market strategy down and now we’re starting to execute on it. Whether it’s using the expanded capabilities around that NICs platform brought us to drive that business down into the local level, continuing to have a focus on penetrating more of our customer base with payments, either with our product form or partner platforms, driving more adoption into the customer base. And then the addition of rapid so giving us capabilities on the disbursement side. And we’ve got some really interesting opportunities around that and think that’s going to be a nice growth driver. So I’d say we generally expect the payments business to grow faster than sort of Tyler’s top line revenues at least in 2023. 
Lynn Moore: As we have our inside sales focusing on that existing customer base. When you look at areas like our enterprise side, whether it’s enterprise ERP we’re including payments in all new responses, all new deal responses, that doesn’t mean they’re out there getting an every new deal, but we are pushing payments in all of our new deals.
Operator: Your next question comes from the line of Joshua Reilly with Needham, Your line is now open. 
Joshua Reilly: Thanks, guys for squeezing me in. I’ll just ask one question here since we’re running over time. The software development costs were only 2 million in the quarter, which is obviously below what we were expecting. Can you just discuss the impact of the accounting changes to this figure? And how guidance of 37 million for 2023 is the proper amount implying an increase given the accounting changes that we have here?
Brian Miller: Yes, the guidance for 2023 of $37 million in capitalized software development encompasses how we expect those projects to be accounted for. So that’s reflect, the impact of that change is reflected there as well as other capitalized development projects that are either starting or ramping up during the year. So that’s fully encompassed there. But the change in expensing versus capitalizing for the full year of 2022 had about a $9 million impact versus what our initial guidance for capitalized software and R&D was.
Joshua Reilly: And was that just reflected in that Q4 number, then the full $9 million impact? Or how was that only 2 million, I guess in the quarter? 
Brian Miller: Well, it impacted the full year, but most of that impact was seen in the Q4 results. So that resulted in a much lower number in Q4 versus the rest of the year. 
Operator: Your next question comes from the line of David [Indiscernible] with Wells Fargo. Your line is now open. 
Unidentified Analyst: Thanks very much for squeezing me and I appreciate it. Just one for me. Brian, I heard your comments in the prepared remarks. You’re touching on growing implementations team or 2023 to meet backlog. Can you just talk about the labor market trends you’re seeing and where you stand currently in terms of hires? What we’re seeing in terms of wage inflation, etc? Thank you. 
A – Brian Miller: Yes, there continues to be challenges in the labor market but it’s definitely mitigating from what we saw last year. Obviously, it’s been very common across multiple industries, but certainly in technology where you’re seeing layoffs, hiring freezes, and so there’s less pressure. I think, on us in terms of turnover which is moderating, and there’s less pressure than we saw last year on wage increases. So each of those are working in a positive manner for us.
Lynn Moore: Yes, I’d say, David if you go back 12 months ago, we were still experiencing really pretty high elevated turnover, still lower than industry, but higher than our norms, which, as you know, was all companies we’re dealing with. As we progress throughout the year, things started, I think there’s I talk a lot about the pendulum and the labor market pendulum is another one that I talked about. And it’s definitely started to swing back as we fell back into sort of November, December, I would say our turnover has actually come back down to sort of pre-COVID levels. Still early to see if that’s where it stays. But I like words, it’s I like that trend. As it relates to things like that Brian mentioned our services and implementation. That was an area that was hit particularly hard over the last couple years, and we’ve won a lot of business. We do have to do some hiring to ramp up to deliver on that business. And we’re doing that. It’s also creates a little bit of margin pressure in the near term. Because when we hire large classes of implementers, it normally takes four or five, six months before we get them out billable on the road.
Brian Miller: Most of the growth in our headcount this year will be in revenue generating positions. 
Operator: Your last question comes from the line of Keith Housum with Northcoast Research. Your line is now open. 
Keith Housum: morning, guys. Thanks for squeezing me in here. I’m just unpacking the payments just a little bit further. The 571 wins is obviously a phenomenal number for the year. Are these mostly agencies that are we taking on that payments for the first time, or at least actually competitive with and what do you see the trajectory I guess in 2023 for that same question? 
Brian Miller: I’d say the majority of that number, although not the majority of the dollars, but the majority of the number would be certainly new payments for most of this customer. So a lot of those are existing Tyler customers where we’re adding payments to a utility billing system or a licensing and permitting system. So we may be adding capabilities. they may have only taken checks before and now we’re providing online payment capabilities or credit card payments. And a number of those are still under rev share agreements. So the revenue generated is on an individual payment opportunity may be relatively small, but at good margins. But some of the more significant wins are competitive wins, like we mentioned the City of Milwaukee. That’s a full enterprise payment processing contract. And we’re replacing another vendor there. So I’d say the larger wins tend to be competitive ones, the smaller ones tend to be more first time payments. 
Operator: This concludes our question and answer session for today. I turn the call back over to you Lynn Moore. 
Lynn Moore : Great. Thanks, everybody for joining us today. If you have any further questions, please feel free to contact Brian Miller or myself. Have a great day everybody.
Operator: This concludes today’s conference. Thank you for attending. You may now disconnect.